Operator: Good afternoon and welcome to 3D Systems Conference Call and Audio Webcast to discuss the Results of First Quarter 2020. My name is Jesse, and I will facilitate the audio portion of today’s interactive broadcast. [Operator Instructions]At this time, I would like to turn the call over to Melanie Solomon, Investor Relations.
Melanie Solomon: Good afternoon and welcome to 3D Systems conference call. With me on the call are Vyomesh Joshi, our President and Chief Executive Officer; Todd Booth, Executive Vice President and Chief Financial Officer; and Andrew Johnson, Executive Vice President and Chief Legal Officer.Please note that given the current situation with the COVID-19 pandemic, we are all participating from different locations. The webcast portion of this call contains a slide presentation that we will refer to during the call. Those following along on the phone, who wish to access the slide portion of this presentation may do so the Investor Relations section of our website.Participants who’d like to ask questions at the end of the session related to matters discussed in this conference call should call in using the number provided on this slide and in the press release that we issued today. For those who have access to streaming portion of the webcast, please be aware that there may be a few second delay and that you will not be able to pose questions via the web.The following discussion and responses to your questions reflect management’s views as of today only and will include forward-looking statements as described on this slide. Actual results may differ materially. Additional information about factors that could potentially impact our financial results is included in today’s press release in our filings with the SEC, including our most recent annual report on Form 10-K and quarterly reports on Form 10-Q.During this call, we will discuss certain non-GAAP financial measures. In our press release and slides accompanying this webcast, which are both available on our Investor Relations website, you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures with comparable GAAP measures. Finally, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of 2019.Now, I’m pleased to turn the call over to Vyomesh Joshi, our CEO. VJ?
Vyomesh Joshi: Thanks, Melanie. Good afternoon, everyone. First, I hope everyone is staying safe and healthy. Our thoughts are with those people affected by the COVID-19 virus, and those on the front lines, doctors, nurses, other healthcare professionals, and all of the other essential workers who are providing needed services for the rest of us.At 3D systems, we have taken balanced measures to protect our employees and their families, while maintaining our operations, including hosting this call remotely. We formed the crisis response committee that has shaped everything from employee health and safety to following government mandates applicable to our business and facilities worldwide.Our close partnership with our local site leaders around the globe has been critical in understanding and addressing challenges at the local site level. Our team has stepped up and is doing our part to connect people in need with those who can help using digital manufacturing solutions.The rapid spread of COVID-19 has put many healthcare workers under great strain as they provide treatment and care to affected patients.Our company has the unique ability to architect solutions specific to customers’ needs, through a combination of breakthrough materials, hardware platforms, software and professional services, creating a path forward to integrating additive into traditional production environments. As a result, manufacturers are able to achieve design freedom, increase agility, scale production, and improve overall total cost of operations.One of the greatest benefits of additive manufacturing is that it allows companies to reduce dependency on the supply chain, manufacture parts internally or make them on demand. This has proven to be extremely important in the current COVID-19 pandemic, as healthcare environments have been lacking basic supplies due to the need for protective measures for both healthcare professionals and patients, and backlogs from bottlenecks and shortages in worldwide supply.We asked our network of partners, customers and others within the additive manufacturing community to circumvent the supply chain and help produce these parts as quickly as possible to meet the urgent needs of the healthcare sector as they care for patients and contain the spread of the virus.We received offers from the community for everything from printer materials, usage of facilities for printing, engineers’ time and expertise, and even offers to fund efforts. I truly believe that collaboration like this will be key to saving lives.Over the last several weeks, we have seen applications of our technology and software being used to assist COVID-19 efforts. Due to the shortage of personal protection equipment, our employees wanted to focus on a high impact area, where we could really help healthcare workers on the frontlines.We identified face shields as being something additive manufacturing could quickly support. What we brought to the table for emergency, face shields was massive capacity. We designed and developed our own high-efficiency face shields frame over the course of 2 days, and our printers can output 100 face shields every 24 hours.We also give away the data file to the community to enable others who have an SLS printer to go from CAD file to production in minutes. We logged 300 downloads in the first 24 hours. The facial frame is printed in medical grade nylon 12.One of our first customer response was from Lonati SpA, a manufacturing company based in Brescia, Italy would deploy the 3D Systems ProX SLS 6100 3D printer with DuraForm materials to 3D print more than 100 Venturi Ventilator Valves for respiratory machines, which are facing a critical shortage throughout the world, because of severe cases of COVID-19 require intensive care and oxygenation.100 valves were designed, developed, produced and delivered in only 3 days, showing the key capability of our technology and the value proposition of fast response time. We now have ventilator projects going on all over the world and in hospitals. And we are working with the NHS in the United Kingdom on Venturi Valves that can be deployed quickly and close to the point of care.In March, we released a new Ultrasound Module to train physicians on COVID-19 diagnostics through lung ultrasound. Using ultrasound physicians can immediately diagnose and monitor patients at the point of care. The module has already been deployed globally and was received enthusiastically.We went as far as mobilizing an ultrasound simulator that rotated between all Israeli hospitals to train doctors fighting COVID-19. As the situation continues to develop, we have been able to apply our solutions to changing treatment paradigms. With a very recent trend of moving from ventilators to CPAP masks, which need adapter components, we have another example of how additive manufacturing can address problems quickly, turning what would have been a 1 to 2 month project into a solution on day 1, with unit build time of just over 1 hour and finished product in 1 day.Finally, as widespread diagnostic testing of COVID-19 begins to ramp, there are known shortages of diagnostic tools such as nasal swabs. Our customers have been looking at repurposing dental and industrial figure for printers to 3D print nasal swabs using dental and industrial grade resins as well as medical-grade nylon 12. A single Figure 4 engine, for example, has demonstrated the ability to produce over 18,000 swabs per week. We have received interest from both hospitals and OEMs and are currently engaged in clinical validations with several teams.These activities show our thought leadership in additive manufacturing and a balanced approach to how the industry can quickly address supply and demand needs amid COVID-19. However, despite these important activities and our contribution to the fight, COVID-19 has been a negative impact on our overall business with significant impact on printers and on-demand manufacturing for a few reasons.The first is end user demand. Overall, CapEx spend is down across the industries we serve, including aerospace, automotive and healthcare, where elective surgeries have been cancelled or delayed. This has affected demand for new hardware and associated software licenses. Second is the overall dental market, where demand has slowed as material consumption has slowed. With the majority of dental and orthodontic procedures considered elective, consumers aren’t going to the dentist or starting new treatments.Next, within our own facilities, there has been a supply chain disruption as we are a global company. Facilities in China couldn’t operate for a period of time. And in Europe, some capacity was limited. Finally, we couldn’t extend service technicians for installations, because of our customer sites being closed. This provides some context to the first quarter results.Total revenue in the first quarter was $134.7 million, reflecting a decrease of 11.4% over 2019. GAAP gross profit margin was 42.4% and non-GAAP gross profit margin was 43.1%. While overall margins were slightly down comparatively, materials margins have held at 69%. We reported GAAP loss of $0.17 per share, and non-GAAP loss of $0.04 per share. Our overall operating expenses were down 13% year-over-year, and we shut down our on-demand operations in Brazil.We continue to work on optimizing our cost structure and taking costs out. And as we start seeing COVID impact, we focus even more on cost structure. Amid the pandemic, our executives and board members to get 10% pay cut, and the majority of the employees are taking limited furloughs. We pushed out some R&D programs and have reduced hiring significantly. We believe these actions strike the right balance between near-term cost savings and also being prepared when the market comes back. Our overall CapEx is down and we are focused on generating revenue, reducing operating expenses and preserving cash.Todd will now provide more details on our results for the first quarter of 2020. Todd?
Todd Booth: Thanks, VJ. Good afternoon, everyone. For the first quarter, we reported GAAP revenue of $134.7 million, a decrease of 11.4% compared to the first quarter of 2019. GAAP gross profit margin was 42.4% compared to 43.2% in the first quarter of 2019. GAAP operating expenses decreased 13.4% to $75.4 million. We reported a GAAP loss of $0.17 per share in the first quarter of 2020 compared to a loss of $0.22 in the first quarter of 2019.During the quarter, we recorded a tax benefit of approximately $3.2 billion from utilizing net operating losses allowed as a part of the tax legislation enacted on March 27, 2020, under the Coronavirus Aid, Relief and Economic Security Act, also called CARES Act.We reported non-GAAP loss of $0.04 per share in the first quarter of 2020 compared to a loss of $0.09 per share in the first quarter of 2019. As VJ mentioned, our revenue was impacted by COVID-19 effects on our business. Dental revenue decreased 35.5% to $19.3 million. Material revenue decreased 0.1% to $41.4 million. Healthcare revenue decreased 7.3% to $46.3 million. On-demand manufacturing revenue decreased 12.8% to $19.7 million. Software revenue decreased 7.7% to $21.2 million.In the second quarter of 2020, we still expect significant impact from COVID-19, and we’ll focus on continuing to take cost out and maintaining cash. We reported GAAP gross profit margin of 42.4% in the first quarter of 2020. Non-GAAP gross profit margin in the first quarter of 2020 was 43.1%.GAAP operating expenses for the quarter were $75.4 million, a decrease of 13.4% compared to the first quarter of 2019, including a 13.8% decrease in SG&A expenses and a 12.1% decrease in R&D expenses. Non-GAAP operating expenses in the first quarter were $63 million, a 13.6% decrease from the first quarter of the prior year and a 5.1% decrease sequentially.Compared to the 2019 quarter, non-GAAP SG&A expenses decreased 13.9% to $43.9 million, non-GAAP R&D expenses decreased 12.8% to $19.1 million, non-GAAP operating expenses decreased due to continued focus on reducing cost structure.We ended the quarter with $112.8 million of cash and cash equivalents. During the quarter we used $2.3 million of cash from operations generated $1.2 million of cash from financing activities and paid $4.4 million for capital expenditures. In addition, we used $10 million of cash for acquiring the remaining 30% of the capital and voting rights of our joint venture in Brazil, and used $2.5 million of cash for the [second of 4 yearly] [ph] installments to acquire the remaining controlling interest of our previous joint venture in China.I also want to comment that as of today, we have not drawn on the revolver and we are focused on preserving cash along with reducing costs and working capital.With that, I’ll turn the call back to VJ. VJ?
Vyomesh Joshi: Thanks, Todd. COVID-19 will have long-term impact that we cannot yet quantify. Our business is sound, and our products are relevant. But our near-term results will continue to be impacted by COVID-19. We shipped factory metals in April as planned, but unfortunately, the timing means that the demand is low right now. Medical device manufacturing continues to grow. In healthcare, while consumers are canceling unnecessary surgeries, our simulator business is doing well. Capital constraints will continue to put pressure on new hardware and software sales. In our ODM business, R&D projects are continuing, but demand driven tooling purchases have been slowed.In this uncertain environment, we remain focused on cash generation and optimizing cost. The search for my successor continues to go well as we make good progress on the CEO search. I want to take this opportunity to thank all of our employees and customers for their loyalty and dedication during these trying times. As we navigate this pandemic together. As a leader in additive manufacturing and healthcare applications, we are helping healthcare professionals and companies bridge the manufacturing gap and accelerate new design ideas.The clear value proposition that we have demonstrated with the speed at which our technology can produce necessary supplies gives me confidence in our long-term potential. I’m proud of the work we and our customers have done to address some of the challenges posed by COVID-19 with our 3D printing capabilities. And we will continue to look for ways to collaborate and strengthen as a community.And with that, we will now open the floor for questions. Operator?
Operator: Thank you. We will now be conducting the question-and-answer session. We ask that you please limit yourself to one question and one follow-up. [Operator Instructions]Thank you. Our first question comes from Greg Palm with Craig-Hallum. Please proceed with your question.
Greg Palm: Yeah, thanks. Glad to hear you guys, everybody’s doing okay. And nice to see some of your technology has been used and helped in this fight against COVID.
Vyomesh Joshi: Go ahead, yeah.
Greg Palm: Can you hear me okay?
Vyomesh Joshi: Yeah, yeah, we can hear you.
Greg Palm: Good. Just you spent some time on the COVID-19 impacts on the quarter, and was hoping you could maybe help us understand or at least bucket out the various impacts. You’ve got lower end-user demand, which presumably is CapEx driven and some slowdown in elective procedures versus you talked about supply-chain disruptions versus some of the lack of service revenue, because customer sites were close.So help us understand what was most important, least important in terms of impact to the quarter.
Vyomesh Joshi: Yeah, so I think let’s start with the hardware, the printer hardware. I think that was major. I think as Todd talked about, we had a 35% decline in hardware revenue. And that all new hardware was related to my view, the COVID related. When you think about the SLA printers, the printers for dental, we talked about the dental market being slow. The jewelry market also, because that’s a you know, a category which is not going to be really consuming lot of materials, because that’s an item people will not be really buying in the current very tough environment.So on the hardware side, I think our Figure 4 did okay, because as I said, the new materials and Figure 4 is ideal for doing new R&D designs. And dental was slow, but the other standalone Figure 4 was doing well in this. And SLS machines, I think they’re in demand, because of the – you could do with nylon 12 that I talked about.So I think it’s mainly SLA, MJP, and dental printers on the printer side. And when you go to the software, the new software licenses, so if you think about the manufacturing software, because the manufacturing activity has really impacted negatively. So the Cimatron software, especially with automotive market, in very different place right now, when they had a tough already 2019 and in addition with all this COVID stuff.The other software, all the Geomagic software, especially the inspection software, also had a negative impact because of the COVID. So new hardware, new software licenses are the core thing.You saw the materials, we did okay. But I think you are going to start seeing that impact in second quarter, because clearly material consumption on the dental, in orthodontic procedures and our enterprise customer also talked about that. We also, as I said, jewelry material and SLA material, because of the automotive segment that we really address.So I think in Q1 we did okay, but I think as the COVID spread now happening in Europe and then now in Americas, there’ll be some impact of that in Q2. With respect to healthcare, all the elective surgeries, so the surgical planning services, you’re going to see the impact. But the medical device manufacturing, I think we are still very healthy. So I think that’s the kind of a color I can give you, Greg. I hope it addresses the question.
Greg Palm: Yeah. That was. I mean, are you managing the business currently with the thought that Q2, the June quarter, will be sort of the worst, will be the bottom. And I don’t know if you can give us any sense of what sort of companywide trends or maybe segment trends, from a demand or decline standpoint, what you’re seeing in April, specifically, that can sort of help us make some assumptions on sort of what the June quarter and full-year might look like.
Vyomesh Joshi: So I think clearly COVID started in China and then in Europe, and then it came to America. So there was not a full impact of COVID in Q1. So clearly, Q2 will have – and I think Todd talked about significant impact, especially in the new printing hardware and new software licenses. So I think you’re going to see that and some materials also impacted in Q2.It all depends on now how the market opens up, and how the activity, the manufacturing activity will start ramping up. I think in China you’re already seeing signs that it’s slowly coming back. I think Italy and Spain are slowly coming back. But I think it would be very hard to predict how this is going to really play out.I can tell you that Q2 will have more impact than Q1, whether Q2 is a bottom or not, it’s very hard to say. And I think in April we are seeing consistent with what I am telling you with respect to what we saw, especially in March and playing it out in April.
Greg Palm: Yeah. Okay. All right. Thanks. I’ll hop back in queue.
Vyomesh Joshi: Thanks, Greg.
Operator: Thank you. The next question comes from Chris Van Horn with FBR. Please proceed with your question.
Christopher Van Horn: Good afternoon. Thanks for taking my call and hope everyone is well.
Vyomesh Joshi: Yeah, go ahead, Chris.
Christopher Van Horn: Okay. So on the supply chain side, are you seeing some of your suppliers, are they recovering or do you have to find new avenues for your supply chain?
Vyomesh Joshi: I think fortunately, on the supplier side we are okay, but still they are also going through shutdowns, availability of the critical parts. The good thing is the contract manufacturers we work with like Sanmina and Georg Fischer, they have kept up – clearly, they had a shut down, but slowly they are bringing their capacity back, which is a good use for us. But it’s now really – the question now is more on the demand side than supply chain disruption.I think what we need to do is get the manufacturing activity going. And then, our customers will start ordering new hardware, new software and materials. I think that’s what we need to really paying attention to. Fortunately, the way we managed our supply chain, I feel very good about. We will be able to meet the demand. It’s more going to be now with respect to how the end-user demand will develop.The other important part is our own facilities and with working with our site leaders, and they have shown incredible leadership here that our own factories, say for example, our on-demand manufacturing factory in China, we slowly are ramping it up. Our on-demand manufacturing facilities in Italy, in France, in Netherlands are also slowly coming up. Our facilities in Seattle and Lawrenceburg in U.S. also is operating. So I think it’s really now can we get the demand so that we will be able to fulfill that. So I think that’s where we are.
Christopher Van Horn: Okay, got it. Well, just to follow up on the demand side, is a lot of the push-out in potential revenues, is it deferring of orders? Is it cancellations, a combo of both? What are the customers kind of giving you a sense of in terms of timing?
Vyomesh Joshi: So for right now, what we are seeing is our pipeline is healthy. And we are not hearing lot of cancellation. It’s really pushing out because everybody is really paying attention to the capital spend. And so, the good news is, I think they have interest in our technology. They have really believed especially with a value proposition now that we have shown, with this tough COVID, the positive sign was the power of additive manufacturing.So I think they are all very much interested in making sure they continue to invest in additive manufacturing. So it’s more about push out than cancellation.
Christopher Van Horn: Okay, got it. Thank you so much for the time.
Vyomesh Joshi: Thanks, Chris.
Operator: Thank you. The next question comes from Jim Ricchiuti with Needham & Company. Please proceed with your question.
Vyomesh Joshi: Hi, Jim.
Operator: Jim, your line is live. You may proceed with your question.
James Ricchiuti: I’m sorry, I had my phone on mute. I apologize. Good afternoon. My question is regarding the channel. I’m wondering, how much of a disruption are they facing even in terms of getting to customers, getting on-site with customers, has that been an issue that you’re hearing from your channel partners?
Vyomesh Joshi: So I think it’s different by regions. Clearly, in earlier part from China, the Chinese channels had a lot of difficulty in reaching customers, and then it went to Europe, so our European channel partners. But they were very innovative in some cases. They found some ways to communicate especially when there was a need to provide certain materials or certain hardware. So they can continue to develop or print using our technology. But like jewelry segment, clearly, that had a major impact, because the demand was very different. So I think depending on the – and then on the dental side, I think on the materials, dental materials, at least in Q1, we had a lot of backlog. So we were really managing that.But I do believe that the printing hardware side, there is a slowdown, because the overall, as we talked about that there are not many dentists who offices are open, and people are delaying a lot of dental work right now. So I think depending on the segment, we saw very similar things that what we are seeing at our corporate level. So that’s not any different than what I talked about from the segments point of view.
James Ricchiuti: VJ, you entered the year with I’m sure higher expectations, stronger new product portfolio, and then you have this happening. So I’m wondering, how are you going to give the demand environment, how do you strike a balance between continuing to make the investments in marketing and R&D with this environment, which is pretty unknown at this point, in terms of how long it continues?
Vyomesh Joshi: Yeah. I think you’re right on, Jim. So I think what we are doing is a balanced approach. It’s very clear that there is an impact on revenue. And I think what we need to do is really have work on the cost structure. So if you saw that our cost structure point of view, we took the operating expenses down year-over-year 13%. And we need to continue doing that in Q2, because we, as I said, will be more impact in Q2, so we’ll need to take more cost out in Q2.And that will have, and I think I talked about it will have impact on our R&D programs, because when you take – so I think we need to just be very prioritizing saying, these are the programs that we need to protect and these are the programs that we need to slip, because it just – there is no other alternative. Same thing with our marketing cost, we know there are not going to be any shows, so we cancel the coming out of all the shows, major shows, because that’s not going to happen.So we put all our marketing dollars on digital, because I – we think that that’s where we can really drive the demand generation and lead generation, because we need to really drive revenue, because revenue line is going to be very important. And as a matter of fact, with all this additive manufacturing attention, our web traffic on our website has increased significantly. And so we think that our investment needs to be really focused on digital, because we think that, that is the way. So I think we are taking out all other marketing spend that we were doing on shows, because we believe that this is the right way to approach to really drive the lead generation engine.And with respect to – we all put – I think, I talked about it, we all at executive level have taken 10% pay cut. We have done furloughs, depending on the region, because we absolutely believe that we have incredible talent and then we want to preserve the talent, so when the market comes back. But at the same time, we need to take the cost out, so focusing on costs.And the last part is cash. I think we are in a good place in the cash right now. But we need to make sure. So we took our capital expenditure down in Q1, and we’re going to continue to take it down in Q2, Q3, Q4, because we must make sure that – and we are very comfortable with our current cash position. And – but we want to be very prudent with respect to that. So I think that’s what we are doing it finding that right balance. Safety of our employees is our highest priority, and then doing these things so that as the revenue comes down, we take the OpEx down and preserve the cash.
James Ricchiuti: Okay. That makes sense. Good luck. And by the way, thank you for what you guys have done in this whole fight. Thanks.
Vyomesh Joshi: That means a lot to us. Thank you.
Operator: Thank you. Our next question comes from Ananda Baruah with Loop Capital Markets. Please proceed with your question.
Vyomesh Joshi: Go ahead, Ananda.
Ananda Baruah: Hey, thanks, guys, for taking the question. Hey, VJ and Todd, is there any way you could give us some sort of sense of maybe with the April run rate was not dollar run rate, but you did a great job of giving us the growth, the growth run rate for the various businesses. And in some context giving us sort of what the run rates are for April. So we can get a sense of what the quarter may look like, I know, you’re not giving guidance, but that would be helpful. And then I have a follow-up as well.
Vyomesh Joshi: So let me start here. On April, clearly, I think I talked about it we are seeing the new printing hardware and new software licenses are really slow. And the impact is also on on-demand services, because the manufacturing companies are not really ordering tooling. There are some R&D projects, but they have slowed down. So those 3 businesses, definitely, we are seeing the impact globally in all the regions, because even though China may come back, but they are not really changing the order. So I would say in April is very much, what I talked about.Our medical devices, that business is doing well, and it continued to grow in April. And the elective surgeries are down. So our dental business, and our aligner business, and our surgical planning business is impacted.
Ananda Baruah: And VJ, were you guys – can you say, if you were – like through February, if you were tracking to your revenue expectations. I’m just trying to be able to develop a sense where – I’m sure ourselves, we’re trying to do this sort of what the – sort of the acceleration rate of decline was in March. And I’m happy to back into the numbers, if you can tell me just sort of tracking to your internal plans, to February we can do the math…
Vyomesh Joshi: I think if you remember when we had our conference call in February, we said we have not seen any material impact at that time. But things change very, very radically starting second week of February and March. So I think you could just understand that up till that point. We were doing okay. And then the kind of the revenue decline you are seeing, I think you could model that way.
Ananda Baruah: Okay. That’s great. And then just my quick follow-up is, in the past, a decent portion of your customer base has included engineering firms, design firms, some of whom could be considered to be small, medium businesses. And then maybe even some of your channel partners could be considered that as well. So I guess my question is, are you in touch with those guys yet? Should we consider that to be sort of a meaningful wildcard from a risk perspective, as we move forward here? Given that sort of small medium business have been kind of more in the heart of what’s been going on? And then that’s it for me. Thanks.
Vyomesh Joshi: Well – yeah. But I think it’s not about a small and medium businesses, even the enterprise customers are seeing so like auto industry, aerospace industry. There is a major impact going on, at least from our customer base point of view. So yeah, small and medium businesses from jewelry segment that you could say, there is a big impact. The dental segment for the dental labs is a big impact, but it’s not just limited to small and medium businesses, because the enterprise customers in automotive, as you know, some of the companies in the United States. They are not doing any more, producing autos, they are producing ventilator. So I just think that you have to look at our segment. So I think the impact is much more broader than just the small and medium businesses.
Ananda Baruah: I appreciate that. I guess really what I’m asking is, you guys have incremental concerns that some portion of your customer base may not come back?
Vyomesh Joshi: Well, I think it all depends on a segment, I think jewelry segment will come back. I’m not very worried about. Dental customers will come back. So the small design firms and that’s not a very big part of our business. And I don’t think that that’s our concern. Now in on-demand, some of the transactions that people will be doing. But I think it will be doing different transaction, because there is actually the value for additive manufacturing, in doing design iterations. But I think we may get different set of customers, but I’m not as much worried about that kind of a risk profile. Okay.
Ananda Baruah: That’s helpful. Thanks, VJ.
Operator: Thank you. Our next question comes from Brian Drab with William Blair. Please proceed with your question.
Vyomesh Joshi: Hey, Brian.
Brian Drab: Hi. Thanks for taking my questions. First, on the materials, materials held up really well in the first quarter, and really just a touch below the run rate, quarterly run rate, that you had throughout 2019. And I’m wondering, VJ, if in some other way, besides just saying that it was slow in April. Can you give us a sense more specifically to what you saw in terms of declines like down double-digits, down more than 50%, and materials in April?
Vyomesh Joshi: Yeah, I won’t give you any specific numbers like that, but I can give you directionally where materials are okay and where materials have impact. So I think the dental materials as I said some of the backlog, we are feeling for the NextDent we are doing okay. But the other orthodontic, I think, you heard from the enterprise customer, they are seeing impact. So there is some impact of that in Q2.SLA, there is an impact, because a lot of auto companies and their suppliers use SLA for a lot of prototyping. And as I said earlier, the automotive businesses have an impact, and so that we are seeing on the SLA side. The jewelry segment as I mentioned, so which is our wax materials. That slowdown is now also showing up in the decline in April and Q2.SLS and Figure 4, because I think our Figure 4 especially the new materials, which are really very, very powerful in doing the design iterations, I think, we are holding up very well, in those materials, both SLS and the Figure 4 materials. So that’s the kind of color that I can give you.
Brian Drab: All right. Okay. Thank you. And then a couple of questions have been asked around, OpEx, marketing and et cetera. But just wondering if you can more specifically say, from fourth quarter to first quarter, you took out about $6 million in SG&A. Is there another – is there an opportunity to take out that much again, or was that kind of the bigger cut, and there’s more to come, but not another cut that significant?
Vyomesh Joshi: So I think in the second quarter, you’ll see the impact of lower 10% cut at the executive pay, and we will see the furlough that we have implemented in Q2. Todd, you want to say something more on the OpEx side.
Todd Booth: Yeah. So you have the 10% that VJ just mentioned at the executive level, but then the furloughs on average about 2 weeks across the company. So you will see it go lower in Q2, but we don’t give dollars.
Brian Drab: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Wamsi Mohan with Bank of America Merrill Lynch. Please proceed with your question.
Vyomesh Joshi: Hey, Wamsi.
Wamsi Mohan: Hey, VJ, how are you doing?
Vyomesh Joshi: I’m doing, okay.
Wamsi Mohan: Hey, I was hoping that you or Todd could bridge the printer gross margins from fourth quarter of 2019 to the first quarter. And I was wondering, in particular, were there any elements in Q1 that can help possibly soften the impact to 2Q printer gross margins? Or will it possibly be negative given your revenue commentary? I’m just curious if there are elements in Q1, that sort of helped…
Vyomesh Joshi: So let me make it a high level, and then I would like Todd to add more color. Okay. So clearly, when you have 35% decline year-over-year in printing hardware, your factory utilization is going to be very different. And I think the other very important part I talked about within that, when we are seeing fewer units, like of say SLA machines, we are going to have a mix issue also, which will be causing the printer margin going down. And as we see continue to having this kind of a decline in the hardware, you’re going to see the decline of printer margin.The other important part that our materials was very good margin in Q1 and it was kind of flat. As we see more material decline that mix between hardware and materials would be also something that we’ll have to pay attention to.Todd, do you want to add anything on that?
Todd Booth: Yeah, I think VJ you covered it. You got a 35% drop on the volume and then the mix. And that’s what was driving the Q4 versus Q1 margin.
Wamsi Mohan: Okay. That’s helpful. And then, as a follow-up, if you look at the materials more broadly, it looks like pricing and mix. The impact on materials was a little bit larger in the quarter. Okay. Can you address what drove that? And as we look into 2Q, are you expecting something? I mean, clearly, that you’re going to have incremental volume hit, but as far as the pricing and mix, can you really help us…
Vyomesh Joshi: Yeah, I’m not worried about the pricing and mix. I think it’s more about the overall – as I said, SLA, dental materials, jewelry materials are going to have impact. And so that mix could play out. But it’s not because of our pricing. We’re not making any pricing moves. I think it’s more about – and then, the overall volume will go down.And then the mix of between hardware revenue and the materials revenue is going to be different. So I think that will have impact on the overall margin for the company.
Wamsi Mohan: Okay, thank you.
Operator: Thank you. Our next question comes from Paul Coster with JPMorgan. Please proceed with your question.
Vyomesh Joshi: Hey, Paul
Paul Coster: Oh, yeah. Hi, there. Thank you very much for taking my questions. I echo comments of Ricchiuti earlier on. Thanks so much for the contribution you’ve made.Turning now to the balance sheet for a moment, accounts receivable, I’m just wondering, do you see any credit risk in your accounts receivables? And when you think about the pipeline, is there anything in the pipeline that also kind of worries you in terms of credit risk? Are there specific customer types that look a little vulnerable?
Vyomesh Joshi: Okay, Todd, why don’t you take that?
Todd Booth: Yeah. So what we actually saw from Q4 to Q1 is actually our past dues greater than 90 days actually improved a little bit. But we do expect in Q2, a little bit of delay on payments. And so, but from a write-off, at this point right now, we’re not seeing – our customers have been paying fairly well, but we’re on top of it. But also, as our revenue went down from Q4 to Q1, our receivable base was a little lower, so there’s a little less risk on the credit. Okay.
Paul Coster: Got it. And then, as you look at the pipeline, is there any sort of subsets of customers that you’re concerned it’d be difficult to close deals with?
Todd Booth: Not at this point, no.
Paul Coster: Okay, very good. Thank you very much.
Vyomesh Joshi: Thanks, Paul.
Operator: Thank you. We do have a follow-up question from the line of Greg Palm with Craig-Hallum. Please proceed with your question.
Vyomesh Joshi: Go ahead, Greg.
Greg Palm: Yeah, thanks. Just you alluded a little bit sort of the potential long-term impacts from everything going on. But obviously, all of the disruptions globally on supply chains, and you’ve got customers who are looking for on-demand production, so I don’t know, it might be a little bit early, but any anecdotal commentary that you’re getting from customers out there that suggest an increased user focus on digital manufacturing and 3D printing when we emerge from all this?
Vyomesh Joshi: I absolutely believe that what we have proven, especially for supply chain disruptions or iteration of R&D ideas, how we could use this technology, I would say that in last 2 months I got more – hello. Can you hear me?
Greg Palm: I can still hear you.
Vyomesh Joshi: Okay, so in last 2 months, I think we got more interest from additive manufacturing capability and value proposition than in, let’s say, last 6 months. So I really think that the long-term potential and the value proposition of fast turnaround time for design iteration and bridge manufacturing. We have now a very proven track record. And I think that should help us set up very well as we move forward.
Greg Palm: Got it. And, presumably, a lot of that is probably from some new customers. But what are you seeing from some of your larger enterprise customers? I mean, given everything going on, any indications of expansion longer term, whether that’s increasing the amount of printers at existing sites or maybe even adding additional printing sites in the future? Are you seeing or hearing anything? Or is it too early to know?
Vyomesh Joshi: Too early to know. I do believe medical device manufacturing. I really think I’m very excited about that segment. That I absolutely believe is going to be more expansion. But beyond that, I will be – I think we need to still see more signals.
Greg Palm: Yeah, fair enough. Okay. Thanks and good luck going forward.
Operator: Thank you. We have an additional follow-up question from the line of Ananda Baruah with Loop Capital Markets. Please proceed.
Vyomesh Joshi: Go ahead, Anand.
Ananda Baruah: Hey, thanks. VJ, this could be for you and Todd as well. Can you just walk through the cash framework just for a second? How much cash do you guys want on hand to run the business and what’s in the revolver?
Vyomesh Joshi: Yeah, at the high level, I’m very comfortable where we are with the cash position. Let Todd talk more details. Todd?
Todd Booth: Yeah. So as you know, we ended the quarter at $112.8 million of cash. And then as I stated earlier is that we have not drawn on the revolver as of today. And so, we have that availability as well. And I feel comfortable with our available liquidity position going forward, 2020 and beyond, so we’re in good shape right now.
Ananda Baruah: Okay, awesome. Can you remind us what’s available to the revolver?
Todd Booth: Yeah, so we have a term loan, which we’ve drawn and then there’s a revolver. The revolver had availability. We’ve disclosed in the 10Q that it has availability. We could have drawn up to $42 million to the end of Q1 based on our debt covenants. And then, as of today, we have the ability to draw on that up to about $90 million, but we have not drawn on it.
Ananda Baruah: Okay. Excellent. Thank you, guys. Thanks a lot.
Operator: Thank you. There are no other questions at this time. I would like to turn the call back over to Melanie Solomon for closing remarks. Melanie?
Melanie Solomon: Thank you all for joining us today and for your continued support of 3D Systems. A replay of this webcast will be available after the call in the Investor Relations section of our website. Stay healthy. Thank you everyone.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Again, we thank you for your participation. And you may disconnect your lines at this time.